Ann-Sofie Nordh: Greetings, and welcome to this presentation of ABB's First Quarter Results. Next to me here, I have our CEO, Morten Wierod, and our CFO, Timo Ihamuotila, and I'm Ann-Sofie Nordh, Head of Investor Relations. As per usual, Morten and Timo will talk through the results, and after that, we focus on today's announcement of portfolio change. So today, the presentation will be a little bit longer than we normally have before we open up for the Q&A. And with that said, I ask you, Morten, to kick off the presentation.
Morten Wierod: Thanks, Ansi, and a warm welcome also from my side. I would say that we had a strong start to the year. The team did a good job at staying focused in what has been a quarter with intense news flow. I would guess that we all have had tariffs on our radar screens, but if I was to pick up a few highlights from the quarter, those would be, first of all, market activity was high, and it was good to see that demand was strong throughout the quarter with a good finish in March. In total, we increased comparable orders by 5% from last year. Secondly, we beat our own expectation for operational EBITDA margin in all business areas. On top of this, our margin got an extra boost from a one-timer, which contributed 170 basis points to the margin of 20.2%. The third point I want to mention is the free cash flow of $652 million. This is good for a first quarter, which usually is a softer period for our cash generation. And it puts us now in a good position to improve our annual free cash flow from the $3.9 billion we generated last year. We also made good progress towards our sustainability targets. My final point is that we continue to be active with the business portfolio. In early March, the team in Smart Building closed the acquisition of the Siemens Wiring Accessory business in China. This adds to our already strong product portfolio. And importantly, it gives us additional market reach through a distribution network across 230 cities. The deal adds about $150 million in sales and it is margin accretive. Today, we also announced our plan to spin off the Robotics division as a separately listed company. In overview, this change will support value creation for both companies. And as Ansi mentioned already, we will cover this separately later on. As part of the annual reporting suite, we published our sustainability statement. And we made good progress in 2024. We are already close to fulfilling our 2030 targets for 80% reduction of CO2 emissions. At the end of 2024, we were down 78% from the 2019 base level. But it's not only about us. I'm proud to say that with our technology we helped our customers avoid 66 megatons of emissions with our product sold in 2024. Over the last three years we have accumulated nearly 205 megatons of avoided customer emissions. I also want to mention safety as this is something we cover in all our internal reviews. Keeping our people safe is an important KPI that we follow carefully. Zero incidence is always the target and it's good to see that we continue to track on a low score and we achieved 0.15 for 2024. So let's take a look at the market developments and the short version is that orders were stable or up in most of our customer segments. Like I mentioned, comparable orders were up by 5%. This was driven by mid-single digit growth in our short cycle orders, which improved in all business areas. We also had 11% growth in the service business, but we had a slightly lower contribution from large orders. Some of the stronger areas were utilities, marine, ports, commercial buildings and most of the process related areas, although chemicals and pulp and paper are generally more muted segments. Our robotics business had increased orders from the automotive segment and our paint technology is the best on the market and we had customers choosing to remain with us as they expanded their international footprint. One can say we travel with the customer. Data center is usually a focus topic and there has been quite some news flow in Q1. The general sentiment remains very strong. We see some customers even accelerating their investments, even if some slower activity from one of the hyperscalers is noted in this quarter. Rail remains a strong area. One example from our traction business is the collaboration with Stadler in the U.S. We will supply converters and pro-series batteries for train sets in Illinois and California as the U.S. moves towards greener rail transport. But even if the market is strong, orders in rail dropped from a high large order comparable. Switching to the revenue chart, the $7.9 billion and 3% comparable growth was a bit below our original expectation. We did not convert the backlog or recent short cycle orders as quickly as expected. Volumes were the larger driver to growth with some added contribution from positive pricing. Turning to look at the different geographies, we were actually up in all three regions. The Americas with good support from the U.S. was again the main growth engine and increased by 11%. Asia, Middle East, Africa improved by 4% and China turned to positive order growth after 10 quarters in decline. All business areas contributed to the China growth of 13% and Europe was up 1% with a mixed picture between the countries. Looking at our large markets, Germany declined while for example Italy improved. Uncertainty triggered by the tariff news load has put focus on footprint and operational setup between regions. I've said to our teams to continue to focus on what we can control and take action to defend our market position and profitability. We have been successful in this area before. Our legacy of a local for local footprint serves us well. In the United States we cover as much as 75 to 80% of our sales with local production and we invest to increase this number. In Europe and China, we have already reached an even higher local value chain. So I feel we are in a relatively good situation when it comes to local for local. In addition, we'd also benefit from an exemption such as the U.S. MCA. Turning to earnings, the chart shows that we continue the upward trend for both absolute operational EBITDA and margin. I said that I wanted us to become a plus 40% gross margin company and that is what we delivered in Q1 when gross margin improved by 280 basis points to 41.7%. Admittedly there was about 110 basis point of improvement coming from FX and commodity timing differences. But we have shown we can reach the 40% level and now we have to work towards consistency. The team did a good job also on operational EBITDA. Margin improved in three out of our four business areas. Only robotics and discrete automation declined from last year. But importantly they showed a positive sequential development and the machine automation division improved to a break-even level. On top of the improved business performance, we had support from a property sale we completed here in Zurich which added about $140 million. This was booked in corporate and other and supported the margin by about 170 basis points to the total of 20.2%. Even without this one timer, it has a good start to the year. And it sets us up to deliver on our guidance to improve margin from last year, assuming no significant changes in the global economy. And now I hand it over to you, Timo.
Timo Ihamuotila: Thank you, Morten. And welcome to you all from my side as well. Let's now talk through the different business areas, starting with electrification. And the EL team keeps delivering new records. In Q1, they achieved a new all-time high orders of $4.4 billion. This is up 2% on a comparable basis from the previous high, a testament to strong underlying markets. Customer activity was stable to positive in most customer segments. This includes our two largest segments of utilities and buildings. Demand in buildings continues to be driven by the commercial market outside of China. And the residential market was overall stable, although the China market is still weak. Morten talked about the data center segment earlier, and the slower activity we saw from one of the hyperscalers. I want to emphasize that outside of this specific event, we still see a very strong data center market. If we exclude this one hyperscaler, orders in data centers increased at mid-teen space. The base is now quite sizable, as we had data center orders of about $2.5 billion last year. So generally, it is still a very strong general environment in this tech segment. Turning now to revenues, electrification delivered 6% comparable growth with contribution from virtually all divisions. Volumes were driven by conversion of the order backlog related to medium voltage and power protection, and also the short cycle business improved by mid-single digit. The profit chart on the right side shows the steady improvement trend electrification has achieved. At this quarter was no exception. Operational EBITDA was up by 7% to $886 million, with a margin of 23.2%. The gains from higher volumes and operational efficiencies more than offset higher expenses mainly related to SG&A. All in all, a very strong quarter for electrification, adding to our confidence for the year. Now looking into the second quarter, we currently expect low double-digit growth, in comparable revenues, and the operational EBITDA margin to improve slightly from last year. Now turning to Motion, which delivered another quarter with order intake above $2 billion. That said, lower large order bookings, mainly in traction division, triggered a decline from last year's record high level. The strongest growth was noted in the service division, while the short cycle improved slightly versus the prior year. We saw favorable order development in HVAC for commercial buildings, as well as in power generation. The softer areas included the process related segments of oil and gas, chemicals, and food and beverage. Rail also declined, but this was linked to the larger order comparable I just mentioned. Shifting now to revenues, which was supported by both higher volumes and a positive price impact. The long cycle divisions improved as they executed on their high order backlogs, even if this was slightly below our original expectation. This improvement was partly offset by a decline in the service division, while the short cycle areas were broadly stable. In total, this sums up to an increase of 3% in comparable revenues to just over $1.8 billion. The positive price development, coupled with continued operational improvements, contributed to a strong margin improvement of 110 basis points to 19.6%. And most divisions improved their profitability year on year. For the second quarter, we anticipate comparable revenue growth in the mid-single-digit range and the operational EBITDA margin to remain broadly stable year on year. In process automation, we saw a continued healthy market environment, and orders came in at the high level of $2 billion, increasing 23% year on year. The BA team delivered yet another quarter with a positive book-to-bill, at this time 1.24 and the backlog is now $8.1 billion. The marine and port segment continues to be growth driver. In this segment we are mainly exposed to passenger vessels like cruise and specialized vessels which could for example include icebreakers or coast guard. Port automation also continued to see strong underlying demand. As for the other segments, we saw a stable to positive order development in most of the energy and process related industries. The business climate however remains more muted in chemical, pulp and paper and mining. Revenues got off to a good start and increased by 5% on a comparable basis. The team executed on their steadily increasing order backlog with added support from pricing. The team has done a really good job on quality of revenues as the order backlog gross margin has been increasing. As they now execute on this backlog we see this supporting profitability in the business area. The contribution from the backlog more than offset the impact from lower volumes in the product division. All in all, it resulted to a new record operational EBITDA margin of 15.8% improving 20 basis points year on year. Looking at our expectation for the second quarter. We foresee comparable revenues to improve in the mid-single digit range and the operational EBITDA margin to be stable or slightly up year on year. If we flip now to robotics and discrete automation, it was good to see that this time both divisions contributed to the strong order growth of 17%. The robotics division saw positive order developments in the automotive and consumer electronic sectors. Both of these important segments remain generally challenging but we were able to grow orders as customers stick with our leading technology as they expand their geographical exposure. Other positive segments included food and beverage, the fashion industry as well as industrial machinery. In machine automation orders increased sharply from last year's low level. Inventory levels at our customers are normalizing but we will have some inventory adjustments spilling over into the second quarter. But we still expect orders to continue to slightly improve sequentially. Moving now to revenues. The robotics division reported a mid-single digit growth rate driven by higher volumes from the book and bill business. This was however clearly offset by significantly lower volumes in machine automation. In total this resulted in comparable revenues being down 11% year on year. Although the profitability was down sharply year on year due to the lower production volumes in machine automation the sequential improvement was better than anticipated. The previously announced cost savings measures in measurement in machine automation helped improve the margin and this business is now back at breakeven level. The robotics division increased margin from last year supported by higher volumes and efficiency measures. It remains well into the double digit territory. Combined this resulted in an operational EBITDA margin of 9.9% down 330 basis points year on year but up 200 basis points sequentially. For RA in the second quarter we expect a slight sequential increase in absolute revenues and operational EBITDA. Now let's move on to the cash flow. All business areas had a positive operating cash flow. It was supported by strong earnings which offset the typical buildup of networking capital in the first quarter. The $652 million of free cash flow was in my view very good for a first quarter. The year on year increase of $101 million was mainly driven by the real estate sale. The improved operational performance was mostly offset by higher payments related to taxes and interest. Networking capital remained broadly stable. I think the first quarter puts us on a good path to improve our annual free cash flow from last year's $3.9 billion. The last time we met we mentioned some reporting changes including return on capital employed. We now report group ROCE on quarterly basis and it remains a focus area for us. The chart here shows that the strong trend continued in the first quarter. ROCE reached 23% and improved 250 basis points from last year. The increase was driven by three out of four business areas as a result of higher earnings, the positive one-timer and focused networking capital management. And with that, I hand it back to you, Morten.
Morten Wierod: Thanks, Timo. And with that, let's talk about today's portfolio announcement or plan to spin off the robotics division as a separately listed company. We start these preparations now and we'll work towards a proposal for the 2026 AGM. If all goes to plan, we will distribute the business to shareholders as a dividend in kind, meaning shareholders in ABB will receive shares in the robotics company in proportion to their existing holding. We plan for the robotics company to start trading during the second quarter of 2026. But we have not yet decided where the listing will take place. We are now looking at different alternatives, including Sweden and Switzerland. So why are we doing this? The prerequisite is, of course, that we think that it will benefit value creation in both companies. Robotics is a strong performance in its industry, and this will become more transparent. And we think it will be rewarded for its strong position and performance as a pure play robotics company. As you see in the chart to the left, robotics represents 7% of ABB group revenues and 5% of earnings. And I should also mention that numbers on these slides are pre-carve-out estimates. Some balance sheet numbers may change for the standalone entity. Robotics performance profile is different versus the three larger business areas we have. And we believe it will benefit from being evaluated on its own merits instead of competing over capital allocation within ABB. Also, while it's a strong contender in its industry, there are limited synergies with other businesses in ABB. It almost already has a standalone profile, but without getting the full benefits. Last year, robotics generated about $2.3 billion in revenues. And in my view, they have proven themselves under the ABB-way decentralized operating model. They have delivered a double-digit margin in most quarters since 2019. A strong achievement in what has been an unusually volatile market. First, it was COVID. Then they had to shut down the hub in China. Then the component shortages with the significant pre-buys, followed by the normalization periods. No, they have shown order growth in the last four quarters. They have also been active on their portfolio. The low-margin system business has been exited. They now have the broadest mechatronics portfolio after expanding with cobots and AMRs. On top of the already most advanced robotic offering with its control and software platform. So, ABB Robotics is well-positioned to help customers improve productivity and flexibility to solve operational challenges such as labor shortages and the need to operate more sustainable. I mentioned earlier the double-digit operational EBITDA margin. It is good to see that this has been supported by a strong gross margin improvement. Since 2022, the robotics gross margin is up by 600 basis points. Free cash flow margin is at the average of 10% since 2019. And the business is well-invested. They have state-of-the-art hubs for manufacturing and R&D in China and the US. And we recently started the construction for a major upgrade of the European hub in Sweden. They have spent 5% to 6% of revenues on R&D and launched its unique Omnicore platform last year. And their Picker technology is a good example of their strong AI-based solutions. So, all in all, we think a listing of the robotics business will support its ability to create customer value, growth and attract talent. We also think it will benefit ABB, which would consist of three business areas with sales and technology synergies. And why do I say three business areas? We will move the machine automation business to be a division in process automation to build on their software and control synergies, for example towards hybrid industries. While robotics is only 7% of group revenues, this portfolio change will have a slight positive impact on ABB's performance. The main target is to allow for both companies to optimize this value creation. We start working towards this now. And we'll come back with more details in due course and in good time before the AGM in 2026. So finally, let's finish off with the outlook. We leave our 2025 outlook unchanged, but acknowledge the increased uncertainty for the global business environment. We still expect a positive book-to-bill, and we see comparable revenue growth in the mid-single-digit range, and we expect to further improve the operational EBITDA margin from last year. Since we had a positive one-timer in the first quarter, I want to mention that the margin outlook for the year is supported by improvements in our businesses. It's not only driven by one-off gains. For the second quarter, we foresee comparable growth in the mid-single-digit range, and the operational EBITDA margin to remain broadly stable with 19% last year. Some of you may say that that stable margin development is underwhelming, but actually it means we need to improve our business results in Q2 2025 to offset the positive impact of 30 basis points from a non-repeat last year. So now, Ansi let's open up for questions.
A - Ann-Sofie Nordh: Yes, let's do so. [Operator Instructions] That way we will allow for as many of you as possible to be heard. And I can see there's a queue already. You can also put questions through the online tool in the webcast, and I will then voice them over from here. And with that, we open up for the first question. And we have Max from Morgan Stanley first in line. Max, can you hear us?
Max Yates : Yes, I can. Can you hear me?
Ann-Sofie Nordh: Yes, indeed.
Max Yates: Yes, good morning, everyone. So just the first question I'd like to focus on is just the data center business. And while I appreciate kind of the business is up in order terms, mid-teens X this large customer, we obviously know it is a very large customer that we're talking about. So I just wanted to understand, I think you mentioned this customer had paused ordering by 30 to 45 days during the quarter. Have we now seen that go back to normal, and should we now expect the kind of data center orders as a whole will be more in that kind of double-digit order growth range for the rest of the year? So because obviously while we don't want to kind of talk about one specific customer, it obviously is moving the needle on what's happening to the overall business. So just trying to kind of understand, is that a good approximation for what we should see for the rest of the year, or do we think that particular customer will continue to be the exception in the industry and be a bit more volatile? Thank you.
Morten Wierod: Thanks, Max. As you said, with that exception, we had a mid-teens growth in the data center segments. And long-term, we are confident also with the growth rate in data centers due to the AI trend that we see these days. So what we look at, and I don't want to speculate, I think they're on the outlook from on single or individual customer performance. I think you will see that in the news as well. So I rather refer, let's say, directly to the source and the current news flow more than that we come out with any firm statements on what are other companies' plans.
Max Yates: Okay. Thank you.
Ann-Sofie Nordh: Thanks, Max. And then we move to the next question. It comes from Andre at UBS. Your line should be open.
Andre Kukhnin : Yes. Good morning. Thank you very much for taking my question. I'll go with the obvious one on tariffs. I just wanted to ask whether you've taken any pricing action so far to respond to what's been announced in the U.S. and also just quite keen to kind of double-click on the U.S. for U.S. piece, which you very helpfully laid out. But within that U.S. for U.S., have you looked into your suppliers and their sourcing and kind of geographical arrangements, and have you seen any evidence of them coming to you with price increases if they happen to source from China or other high-tariff countries, and how you're responding to that, please?
Morten Wierod: We have, of course, looked at all of these elements, as you say. First of all, the main part is what we produce, the 75% to 80%. We have, as ABB, more or less no import from China coming into those numbers, so that is not an impact for us. The other part is we already -- also a lot of the Mexico and Canada import. A lot of that is with exemption from tariffs based on the U.S. MCA trade agreement, so that helps as well. And then it's what comes from Europe that will be exposed later on for tariffs and there we will take price actions as you mentioned. There has been already taken price actions this year but that is more of the steel and aluminum tariffs that has been implemented and because that has been as a general price increase in the market on raw materials and of course that is something that goes through on to the other side. So that's how we work with when we talk about the suppliers and the suppliers of our suppliers. We have an overview on where it comes from. We have been working on that for quite some time to minimize especially the China exposure. I don't have details to give you on. More I can say, I can confirm that it's worked on, it's understood and it's mitigated to have all the effect. That is why we can all come also out with the guidance that we're doing that we don't believe. I don't see with the current knowledge I mean as of today or as of now we don't see any significant impact on our overall performance.
Timo Ihamuotila: Maybe if I can just add super quickly on this one. So we have done as Morten said a thorough analysis with and without tariffs and the tariffs itself they don't have a big impact. It really is the economic uncertainty which we are now dealing with which we have to then see how it plays out. But as I said all of this has been taken up in our thinking on the guidance for the year.
Ann-Sofie Nordh: We have a question coming through online here sort of linked to tariffs I would assume. Somebody asked could you please tell us if there was any pull forward in orders in Q1?
Morten Wierod: No we did not see that in the first quarter that people were pre-buying. I think that is just due to the uncertainty of what kind of would you buy to be able to mitigate. So no, we have not seen that.
Ann-Sofie Nordh: Very good. Then we go back to the conference call and we open up the line for Martin at Citi. Martin?
Martin Wilkie: Yes, thank you. Good morning it's Martin. Yes, thank you. Morning it's Martin. Can I ask on the order pipeline it seems no immediate impact on tariffs and orders so far? But when you are talking to customers about the pipeline for the remainder of the year are customers worried about the environment and seeing the potential for significant pauses on decisions for the year ahead and then perhaps you know which industries are more worried around that. And linked to it you've already talked about some capacity expansion in the U.S. Is that primarily demand driven or is it more to give you further hedging against tariffs as well? Thank you.
Morten Wierod: Thanks Martin. The order pipeline when we're looking at the -- it's still strong when it comes to the overall and the long term need for electrification and automation that is clearly there. You see some of the decision making as you remember -- as we mentioned may take and we saw that already in the first quarter that it takes a bit -- may take a bit longer time to get that final decision. We've win and we get the order but sometimes you take another round maybe with the Board for major investments. What we see is that the no regret moves they are being taken. That's the same on our side and others where there is much bigger uncertainty days or where you take another extra round and may discuss. So that's the how I mean uncertainty is not good for decision making. That's clear. So that's the -- but we are taking this uncertainty into account when we also make our forecast for the second quarter and year end. So it's something we believe we have under control and I'm not kind of worried about it but it will take a bit more for sales work also to get the papers signed. And I think the second point maybe help me here Ansi.
Ann-Sofie Nordh: Capacity increases in the U.S. Demand driven or tariff driven?
Morten Wierod: Yes. Thank you. It is driven very much by a demand driven because we don't have -- many of these investments is driven by it's kind of products that has special U.S. or what we call NEMA North America standard. And therefore we need more capacity because the demand has over time been bigger -- been larger than supply. So we are expanding because we see also a long term that goes with the two announcements we had in the education business in San Antonio Mississippi and Selmer in Tennessee is about $120 million. We're expanding those two facilities for low voltage bus bars and for low voltage circuit breakers that is used by utilities that's used in industry and in data centers. So that goes into that general capacity build up. And of course there will not be U.S. tariffs on it when it's produced in U.S. but that's not the primarily driver of it.
Ann-Sofie Nordh: Very good. Thanks Martin. We've had a couple of questions come through here online regarding the portfolio change announcement. So basically the question is why now?
Morten Wierod: Yes, we believe the robotics business is now ready to stand on its own two feet. The synergies with the rest of ABB is limited when you look at technology and customers. Their electrification, motion and process automation very much have common, much more common technology, common go-to-market, common customer base and even common competitors. So we believe this is a good value creation opportunity both for ABB and also for the ABB robotics division being a separately listed company. So therefore it will take a bit of time, we know we said that in Q2, so a year, good year from now is when we can do the listing as there are some internal work on the carve out and the preparation to be done. So therefore we need that time but I believe now it's a good timing because the robotics business is among the very best in their class and being measured against peers. You will also see that and I think then they don't need to fight for capital inside ABB but have now access also for investor in the market. You have now an opportunity to get a hundred cent on the dollar on robotics investment as was not the case at ABB where it's about 7% of revenue and 5% of over earnings. So that's where we believe that the timing and the team is ready to stand on its own feet that it's a long-term good business in automation and robotics.
Timo Ihamuotila: Yes, I mean maybe just add there of course it's important also what ABB will look like after the spin happens and there we are seeing increased gross margin, maybe 40 basis points increased operating margin, maybe 50 basis points, clearly higher return on capital. I think the growth rates probably will be about similar. If you look at history, we would also have a notch higher there. So it really kind of like shows that these are a little bit different kind of companies.
Ann-Sofie Nordh: And with that we have a question coming through from Alex at Bank of America Merrill Lynch.
Alex Virgo: Yes, thanks Ansi. Morning Morten, Timo. I appreciate you taking the question. I wanted to talk about electrification if I could please and I appreciate it. It's one question with two parts. Question on the acceleration on the growth guide into Q2. Low double digits very strong. I just wondered if you could give us a sense of what's driving that and the visibility that you obviously got on Q2 but for the full year. And just linked to that the margin expansion. You mentioned about a month or so ago in a conference the differential on margins between the North American business and the rest of the world in electrification. I just wondered if we're starting to see that gap starting to close as we see the margins moving up here and whether that's something that can accelerate through the year. Thank you.
Morten Wierod: Yes. So let's start on the Q2 growth outlook. So we have some of the revenue where we were a bit short in Q1. We saw that some of those deliveries were slipping over to Q2. So that's why we are confident we have a strong order backlog and order book now being on a record high level. Even at just to mention like on electrification it grew by another 11% in Q1. Even if the order growth just for the quarter were 2% but the order book increased by another -- up 11%. So that's a good set up in and a good outlook when it comes to the second quarter. And we talk about margin expansion as we say there in especially for the we mentioned that in the electrification businesses North America is diluted to the electrification margin. It still was in Q1. It will still be in Q2 but that gap is getting smaller. And I think that's the focus for the team and has been for several years and how we can close the gap to the rest of the world level. So we have -- you will see not just in electrification but have all four business areas are expecting a margin improvement for the full year. So I'm sure Timo can mention a bit about the one-off that special but the operational performance is expected to increase in all four of our business areas at the year end.
Timo Ihamuotila: Do you want me to throw it now? A bit of an opening there. So when we look at this I mean when you look at our corporate guidance last year we had a very strong sort of corporate performance. We were about $150 million. Now we're saying $200 million. So that would be a bit of a negative on the full year. But when you combine that with e-mobility, we are going to see some tens of basis points positive on that whole corporate e-mobility combined. And then as Morten said, also the businesses, we are expecting them to improve.
Ann-Sofie Nordh: Okay. And then we'll take the next question from Sean at HSBC. Your line should be open.
Sean McLoughlin: Yes. Good morning. Thank you. A question around process automation. You make a very interesting point on your competitive advantage of being the only supplier with direct access to electrification and motion. Are you seeing that already as part of the existing strength in process automation orders? Is this something that will be, let's say, something that you push much harder on going forward? And you've also highlighted the marine side of things. Just wondering if there's any regional focus of where you see particular order strength there. Thank you.
Morten Wierod: Yes. I think that is very much a play that the strength between our process automation, electrification and motion business is very clear in areas, for instance, in LNG, where you do drilling, you do the whole pipeline with compression, and you do the terminals. And later on, you even do the LNG ships. So if you look at these four applications, that's a nice ABB combination of automation systems of motors and drives that is to get like the right compression for compressors. And it's also with electrification because no motor or no drive or any automation system is working without electricity and all the switch gear that is needed. So these, if you look at LNG to be as one, we have some very successful, especially North America project. We are working the three business areas or the divisions that is relevant here. They work together as a team, as a common task force. And that's how we go to market and how we support project OEMs and end users on the ground. And later on also with service and taking care of that equipment over the lifetime of 25, 30 years plus, which is the expected lifetime. And it's the same if you're talking about our marine business, a propulsion of the cruise ship. You will see there from the room, you will have the electric generator, the switch gear, the drives that is driving the speed of the motor and the torque, and then the propeller system known as OCPOD leading in the cruise industry. So these are just a couple of examples where you see that this electrification, motion and process automation really working together in tandem, where often process automation takes the lead versus the end customer. They are the one carrying the ABB flag there, but then with strong support from their brothers and sisters from coming from the other divisions. So that's how we work together. And I think that's -- what I know it's a unique combination, which is highly appreciated by customers. Latest confirmed that was in Houston at the CERAWeek this year. And this is one of the winning arguments why we are performing really well in these segments compared to many of our competitors.
Timo Ihamuotila: I think there was this regional comment, I can just confirm that PA orders were very strong broad based. So actually also in China grew, but also Europe grew and U.S. grew or America. So very broad based.
Ann-Sofie Nordh: Very good. And then we take -- we have a question from Simon at Jefferies here via the online tool. Can you please elaborate a bit on what you saw in the U.S. during the quarter, did the market hold up and perhaps particularly so in the short cycle business?
Morten Wierod: Yes. No, it did. We had growth in all four business areas in the United States. It was 9% on order intake overall and all business areas contributed to that growth rate. And we had also a strong March. So there was not a really a big change throughout the quarter was a healthy business generated in all three months. So that was overall a good start to the year in the United States.
Ann-Sofie Nordh: Very good. And we take the next question from James at Redburn.
James Moore : Yes, good morning, everyone. Thanks for the time. Timo, you mentioned that economic uncertainty is the biggest risk. And I totally agree. That makes sense. And I got the impression from other comments that your orders at the start of April are kind of largely unchanged. A comment we're hearing from a number of companies. But I guess in reality, the tariffs didn't start in the first two weeks of April. This is the first week. And I wouldn't normally ask about live trading. But are you seeing anything in the order running rate and the daily rate of this week that is materially different, particularly in the U.S. that would suggest that we are going to see any economic impact. And tagging to that, where you've got that import, the 20% 25% import, some of it comes from Europe, where you've got a product coming from Europe to U.S. customers, and you're raising price. Are you seeing customers accept that? Or do you think that they will switch to a local producing competitor?
Morten Wierod: I can start on the on the last part of that question. Again, giving you an example from the electrification business, where the portfolio is so wide, it is very difficult to have a full production in everywhere in the world. And some of the, what you know, there are different standards between the U.S., what we call the NEMA standards, and in Europe and the rest of the world, there's IAC. And there is to use some of these IAC products that is produced in Europe by all companies, which goes into, for instance, into a machine building or a project built in the U.S. that is re-exported or exported outside the United States. So this accounts for some of those products that is not produced in the United States. And we don't see, I also don't think, or I know that anyone, nobody is really producing those components in the United States. And therefore, it will come as a price change in the market. Because for most of these cases, there is no local alternative available.
Timo Ihamuotila: Yes, and on the trading, I think we can only say there that we have not seen anything kind of like in the trading sort of these months, which would sort of fundamentally change any view, any customer behavior or anything like that. But I think we need to leave it at that.
James Moore: Thank you very much.
Ann-Sofie Nordh: Thanks, James. And then we open up the line for Daniela at Goldman Sachs.
Daniela Costa : Hi, good morning. Thank you so much for taking my question. I just wanted to ask regarding low voltage and supply and demand in the market, your adding capacity. We also see a lot of your peers adding capacity. Just maybe if you could give some color on that, especially like where are lead times, what's the sort of visibility that is there, especially if we go into a slightly softer U.S. macro part of these products, our short cycle, but just to give us a picture of how the supply demand is?
Morten Wierod: As you said, the increased, the expansion of our facilities is to meet that extended or the expanded amount that we see in the market. And again, also to limit the number of imports, what comes from outside, because that's why we also take some of the components that comes from Europe today is because we don't have enough capacity in the United States. So I see there is still much longer lead time than the industry was used to. So we still have work to do there to get it further down. I don't see any short term or midterm kind of overcapacity or issues in the market. It is the whole the trend of electrification, even if there is the global economy goes a bit slower, nobody is immune. But I see that the electrification and the automation trend that we are facing, especially and I mentioned in infrastructure, that is not going to change quickly because those CapEx plans are made, those are ongoing projects. And we see that that is desperately needed, especially in the United States, in some of the infrastructure investment. So therefore, I don't have any short or midterm worries when it comes to capacity. It's more, as I say, we are still building capacity at this point of time.
Daniela Costa: Got it. Thank you.
Ann-Sofie Nordh: Thanks, Daniela. And then we have a question here from Olof at Danske Bank. He says, what impact do you expect from the stimulus package announced in Germany? And when do you expect that to impact, if so?
Morten Wierod: I mean, overall, it's good that Germany starts also to investing again. It has been a tough situation in Germany for the last two years. And we do see some more optimism on the ground also with large customers. But they're still too early. There was no impact in the first quarter, and we will not see that in the second quarter either. It is because, you know, from planning, permitting into starting building until the electrification automation is in the ground is so from there, an impact point of view, we are more into the 2026 onwards. But I think it's good to see that there is more an environment of investing again. And I think the mood starts to change. And that is maybe the I think is the first and important part that customers and our partner starts to look at the opportunities and not kind of looking backwards of everything that went wrong, but more of what can we do in the marketplace. And there is a bit more of optimism that will help. And for us, it's about all those investments in either in infrastructure, you know, getting more affordable, but more reliable energy supplies of Europe and Germany, especially will support the business of ABB. So I think that we are well positioned to take part in that those investments that will come, but a bit still a bit early.
Ann-Sofie Nordh: Very good. We open up the line for Anders at ABG. Are you with us?
Anders Idborg: Yes, thank you. Just -- exciting news on the robotics spin. I just wonder about the thought process behind going for a spin rather than a trade sale. Is there anything to, I mean, if those discussions came up here, is there anything that would sort of prevent you from, or, you know, would you engage in such discussions if it came up here?
Morten Wierod: Yes, I can start. I mean, we have looked at, of course, the different options when we do make such a decision. And the options what we are launching now is the separate listing of the robotics company, because we believe that is also a good opportunity for the shareholders to participate in that value creation opportunity that we are confident about. So therefore, that's why we've chosen this road. But portfolio management is an important part of the whole ABB way operating model. And we are always looking at different options. And that would also be the same here as we have our obligation to our shareholders to consider any option that may occur. But right now, we are on the path of listing, and that's the work that is ongoing. So that is our clear primary plan at the moment.
Timo Ihamuotila: But yes, maybe a little bit also on the thought process. So if you look at some of the previous transactions, what we have done, so I think the key point is that is there a natural industrial consolidator in the business, hopefully two or three of them, and then it's sort of easier to go for the trade sale, which was very much the case, for example, in the bearings business, whereas in Acceleron, that didn't exactly exist. And here, it's not necessarily the case either. So I think that's sort of a little bit just on the thought process.
Ann-Sofie Nordh: And while we're on this topic, there's a question here from Ben. Just to clarify, will machine automation be a separate division in process automation, or could there be other changes in process automation?
Morten Wierod: No, they will be a separate division there. And I believe they are on a clear path of improving their performance. We talked earlier about they had a record performance in Q1 last year that has declined since when they had kind of used the backlog and customers were sitting on a large inventory. Now, we are graining back. We said that now in Q2, we will be ending that situation at the customer side, and therefore, we are more back to a more normal order pattern and revenue situation. And therefore, I'm also satisfied to see that we are able, that plan that was made is followed, and that was good to see now. So that will remain in process automation, and they will keep as separate divisions, but working together on projects, even with the motion business or electrification where this makes sense, or they will work with their colleagues and team members in process automation when automation solutions or PLC solutions, for instance, in tunnel projects in energy industry, it's done, then they will be a contributor into those projects as one example. So this is how we work across the company, where one division takes the lead towards the customer, but then working also with their colleagues in other divisions. So of course, that will continue also when they are in process automation.
Ann-Sofie Nordh: And we keep going on the portfolio spin topic here. Here's one question from Gail. Could you also talk about the competitive environment for the robotics business?
Morten Wierod: Yes, I think if you look at how robotics are doing, and again, when I say I think they will benefit from being measured and compared with their peers in the robotics industry. And there you will see that they are having a very strong performance, both from a top line, but also a bottom line performance. So being among the top and the very best in their class. And therefore, that's also I see the benefit of having that focused company, which we know will have. And I think they're also doing a good job when I look at what's happening in China, coming up now and launching this year, more of a China for China portfolio for lighter application, which is kind of it's the robotics market in China is quite different from the rest of the world. And therefore, we have also adopted to that new reality, not just from a competition, but also from an application and technology point of view. And there, I think it's put on a really good job. Both are coming up with new products that is fit for purpose, fit for some of these light applications, but at the same time, also using local components and subassemblies, not using imports from, let's say, the West, but using those local Chinese components at the right cost level versus what they use in China. But also they're having with that performance that is expected from customers, because that's, again, what drives it. So I think there is how you need to adopt this local for local strategy when it's a new application and things which robots being used in China for other things. I mentioned, I think, on these calls earlier, the soup kitchen, Ramen soup or noodle soup being one, but many of these kind of a much higher robot density than what we see in Europe and especially in the United States. So therefore, it's also a different portfolio. And I'm happy to see that that portfolio is coming online. And now we've got a big expansion now in 2025.
Ann-Sofie Nordh: Okay, we changed topics for a little while and maybe towards you, Timo, could you elaborate on why backlog execution was lower than planned in the first quarter? And does it change your view on the full year outlook?
Timo Ihamuotila: Yes, happy to. I think that really is only a timing issue. So there is nothing dramatic on that. A little bit more in motion and a little bit in EL and then in motion also we had a little lower service revenue actually than we expected. But looking forward, we actually saw very strong growth in base orders, actually higher than our normal order growth. We don't usually talk about it, but just wanted to mention that because it converts faster. We also had, and that was 6%, we had 11% growth in service, which also service orders, which also supports revenue for the year. And then when we look at the overall backlog, we have maybe 3% to 4% coming from backlog when you look at the backlog conversion of the $23 billion and 60% expected to convert this year. So we should be overall in a pretty good place regarding our revenue guidance for the year.
Ann-Sofie Nordh: Very good. Then we open up the line for Eric at CIC Market Solutions.
Eric Lemarie: Yes. Hi. Good morning. I got a question on the U.S. reshoring. I understand the objective of the Trump administration is to accelerate reshoring, but to reduce immigration as well. And I suspect you are well-placed with your automation business there. And I was wondering what's your view on that? Do you currently observe any acceleration on that side? And do you observe any, I don't know, more optimism from your local teams on that particular issue? Thank you.
Morten Wierod: Yes. Only the automation…
Ann-Sofie Nordh: Reshoring…
Morten Wierod: Well, yes, this is, I have to say, it's been a trend that has been ongoing for quite a few years now, because with the risk of tariffs being one, but also I think the importance of being closer to customers is just a trend that has been more and more important. So we have done it as ABB, but I know we're not the only company in the world that has moved production closer to customers. And I think that was a bit of a learning after the whole COVID shutdown in the beginning of 2021. So I think this is just the trend what we're seeing. And we do say that's what we are helping also our customers when they are building up more of their local manufacturing. I think that's the important, but I can also use an example that we had even from China, which just shows this where in the electric vehicle space, when some of the leading electric vehicle companies go outside China and set up new manufacturing, that being Indonesia, that being in Thailand or here in Europe, then we are also following customers abroad. That's why it's important to have this global presence. But then you can also travel with the customers out when they establish new production so that what we've done in China or what we've done in Europe or in the U.S., when they go out to a new region, then we can bring that technology and the know-how from their original design and also do a kind of copy-paste outside. So there is where some really good wins also in this quarter in that space, not just in the U.S., but even going out of China, becoming more local in Asia or in Europe, in the automotive industry as one example. And we don't see it only there, but also in other industries. So this importance of being truly global, but acting local and having service, having people on the ground that can support, it's one of the key elements why our customers choose to work with us on large projects.
Eric Lemarie: Okay, thank you. But do you think the Trump administration policy could accelerate that trend in the U.S.?
Morten Wierod: Yes, I mean, there will be more investments in local manufacturing in the United States. That is clear. So I think the flip side here, as Timo mentioned, is kind of the question mark, how will it affect the global economy? But of course, it will drive some more investments in the United States in manufacturing. That's clear. But how effective it will have on the global economy is for me more the question mark, but that it will drive some more investments in the United States. That's clear.
Eric Lemarie: Understood. Thank you.
Ann-Sofie Nordh: Thank you. And time flies when you're having fun. We're going to have to make that our last question. Thank you very much for joining us today. And have a lovely spring break if you're getting one. I'll see you soon.